Operator: Ladies and gentlemen, thank you for standing by, and welcome to the ANSYS Third Quarter 2016 Conference Call. All participants will be in listen-only mode. After today's presentation there will be an opportunity to ask questions. Please note this event is being recorded. With us today are Mr. Jim Cashman, Chief Executive Officer; Ajei Gopal, President and COO; and Maria Shields, Chief Financial Officer. At this time, I would like to turn the call over to Mr. Jim Cashman for some opening remarks.
James E. Cashman III - ANSYS, Inc.: Okay. Good morning and thank you everyone for joining us to discuss our third quarter and the year-to-date financial results. But as always, before we get started I will introduce Maria Shields, our CFO, for our Safe Harbor statement. So Maria?
Maria T. Shields - ANSYS, Inc.: Okay. Thanks, Jim. Good morning, everyone. Our earnings release and the related prepared remarks documents have been posted on the home page of our Investor Relations website this morning. They contain all of the key financial information and supportive data relative to quarter and year-to-date financial results and our business update as well as our current Q4 fiscal year 2016 and preliminary fiscal year 2017 outlook and our key underlying assumptions. I would like to remind everyone that in addition to any risks and uncertainties that we highlight during the course of this call, important factors that may affect our future results are discussed at length in our public filings with the SEC, all of which are also available via our website. Additionally, the company's reported results should not be considered an indication of future performance, as there are risks and uncertainties that could impact our business in the future. These statements are based upon our view of the business as of today, and ANSYS undertakes no obligation to update any such information unless we do so in a public forum. During the course of this call and in the prepared remarks, we'll be making reference to non-GAAP financial measures. A discussion of the various items that are excluded and a full reconciliation of GAAP to comparable non-GAAP financial measures are included in this morning's earnings release materials and related Form 8-K. And as you heard, Ajei Gopal, our President and COO, has joined us on the call this morning. Ajei will be providing some comments during the prepared remarks session of the call. And then we ask participants please to direct their business related questions to Jim and myself. So, Jim, I'll turn the call back to you.
James E. Cashman III - ANSYS, Inc.: Okay. Thank you, Maria. So, after I provide a recap of the Q3 results that the team achieved, I'll turn the call over to Ajei for some introductory comments as this is his first call as part of the ANSYS team. After which, then, Maria will provide an update on the financial highlights and our outlook for the balance of this year and our preliminary outlook for 2017. So, with that being said, let's see. For Q3, we reported consolidated non-GAAP revenue of $246 million with solid revenue growth in Germany, Japan, China and Taiwan counteracted by some pockets of weakness in North America and Europe. Revenue growth for the quarter was impacted by an increase in our lease business which grew at 7% in constant currency. This is in line with our comments from recent calls. The shift in customer preference from paid-up to lease was most pronounced in the U.S. and Japan, where we both saw right around a 10% growth in constant currency in our lease business in the third quarter. This shift to lease is in line with our comments from the recent calls we've made as I mentioned. And with this in mind, perpetual revenue was down due to this shift but it was also heavily influenced by consideration of, if you recall from our last third quarter call, we had a significant perpetual deal in North America, it was actually over $7 million. And it didn't repeat itself this year, obviously, and we actually alerted to that. But excluding that single transaction, the perpetual business for the quarter was relatively flat when compared to last year's third quarter. From an industry perspective, aerospace, defense, automotive, healthcare and biomed performed well while energy and the materials and chemical processing sectors continued to lag. Importantly, our recurring revenue base continued to be very strong at 76% of total revenue for the quarter and year-to-date. In addition with the deepening of relationships with our major accounts and the growth of our lease business, we continue to see a strong balance of deferred revenue and backlog resulting in a Q3 record high of $485 million. And that's 11% higher than Q3 of last year. Again, this growth in deferred is a positive result of the shift to lease that we've been seeing. Now, in the third quarter, we had 20 customers with orders over $1 million including one customer with cumulative orders of over $10 million for the quarter and these 20 customers compare to 18 customers over $1 million in Q3 of last year. And that's what's happening at the high end, but we also at the SMB perspective saw an 8% increase quarter-to-quarter in the number of new logos that were added in. Now, part of this improvement is from some new channel partners, particularly in Asia that we've added, as well as some good early results from our newly introduced start-up program. Non-GAAP gross and operating margins for the third quarter were a little bit over 89% and 49% respectively which were above our expected range, and that was driven by a combination of our own third quarter spending seasonality, but also, our continued efforts around cost discipline. Non-GAAP EPS for the quarter was $0.95 or a 6% improvement over the $0.90 that were achieved in the prior year period and was actually $0.01 above the high end of our guidance range. Operating cash flow for the third quarter was approximately $82 million. Basically, and also, I'd say continuing our commitment to return capital to shareholders, we repurchased 1.2 million shares during the quarter and that makes it 2.7 million shares year-to-date. Now, also, those are the numbers, but during the quarter, we had some other notable accomplishments, which I'd like to highlight. First was the August release of ANSYS 17.2 and it basically just continues to offer this steady stream, a wealth of new functionality, including enhanced multiphysics coupling, new workflows, particularly for things like antenna design and things related to the Internet of Things. The latest version of the ANSYS portfolio also enables engineers to combine advanced simulation technology across physics to address complex engineering challenges inherent in today's smart and connected products. And on top of this, of course, we continue that common theme of continued ease of use to bring this to a much broader audience. So, if you visit our website, you can get a lot more details on this release and other updates, but when you do hit this website, one thing you might note is the increasing opportunity for ANSYS in systems. And as we continue expanding our leading simulation software platform, it's important to include capabilities that manage and streamline complex system engineering processes. And in light of this, you might have also noticed that we announced this morning the acquisition of medini Technologies. Now, this is a Berlin-based leading provider of system safety analysis solutions. So, medini brings a world class engineering team of course as well as solutions for system safety analysis, reliability engineering and quality management. Now, its flagship solution, medini analyze implements core functionality, safety analysis activities and they integrate them within their customer's existing work flows. This is especially important in the automotive industry where medini really has been widely deployed, it's gotten its start. So, I mean, just imagine the systems and security issues surrounding all these new trends toward autonomously driven vehicles and drones, just for example, and you'll get an idea of what this has in the design of overall comprehensive products. With our strength in electronics and aerospace, we're also very well to expand the usage into those industries as well to help customers in those other global industries innovate their products probably in ways that they really had never envisioned. So, as you're also aware, we're going through a managed CEO transition and its part of a comprehensive multilevel initiative to help ANSYS realize opportunities over the next 20 years. So, I've come to know and admire Ajei as a fellow director and I have no doubt that his outstanding leadership and his unique perspectives and appreciation for the ANSYS culture, people, and organizations make him the right choice to serve as our next leader during this next phase. So, as I move to the chairman role, it's been a pretty darn smooth transition process. So, in keeping with that, I'd like to now welcome Ajei to the call and have him maybe provide some commentary around his first couple of months here as part of the ANSYS team and some of the operational priorities that he, his team and all of us will be working on. So, Ajei?
Ajei S. Gopal - ANSYS, Inc.: Thank you, Jim, and good morning, everyone. I'm actually delighted to be here. I've been President and Chief Operating Officer here at ANSYS for about two years. I had a running start after over five years of tenure on the board of directors of ANSYS, and I've continued to learn more and more as I interact with employees, with customers and with partners. I am more excited than ever to be with the company. Jim's vision and his tremendous leadership have set a high bar, indeed, and I am committed to building on this base of excellence. With new opportunities in big data, in the Internet of Things, in additive manufacturing and in the cloud, to name a few, ANSYS will push the boundaries of innovation to help customers solve their most complex design challenges and also to broaden the use of simulation. I look forward to meeting with you in the next weeks and months to come as we at ANSYS continue to define the future of simulation. Now, from an operational perspective, let me update you on a few key initiatives underway. We are continuing our search for a new global head of sales. We are working with a leading search firm and interviews are under way. We have spoken to a number of highly qualified and seasoned candidates who have strong global sales experience, operational rigor and enterprise account skills. All of these attributes are very important as we continue to drive the productivity of our global sales force and build the operational foundation to grow and scale the business. We will provide an update as soon as the search process is completed. We are also in the midst of our annual planning process and working through all of the detailed plans relative to products, go-to-market strategies, pricing, hiring and other critical investment areas for 2017. We will share more of those details on the February call when the plan is finalized. Finally, we went live on the first phase of our planned migration of our legacy CRM platform to a more modern sales force automation platform. This is another important step in a multi-phase project to update our business infrastructure and processes. This will give us better visibility into our sales pipeline, it will improve our sales forecasting, and it will support the future growth of our business. And I want to thank the ANSYS team involved in driving this important initiative. I look forward to updating you on our final year-end results and providing further details on our hiring, and our business progress and on our 2017 growth initiatives on the next call at the end of February. I will now turn the call over to Maria to discuss our fourth quarter 2016 and our preliminary 2017 outlook. Maria?
Maria T. Shields - ANSYS, Inc.: Okay. Thanks, Ajei. As we outlined in this morning's press release, we've initiated our outlook for Q4 starting with non-GAAP revenue in the range of $263 million to $272 million and non-GAAP EPS in the range of $0.94 to $0.99. With respect to our previous guidance for fiscal year 2016, we've narrowed the revenue range and factored in the Q3 results. This translates to our updated outlook of non-GAAP revenue in the range of $981 million to $990 million and non-GAAP EPS of $3.59 to $3.64. Our guidance for Q4 reflects a number of assumptions based upon our current view of the business. These include a continuation of the existing overall macro environment in which we and some of our key customers will continue to experience growth or the business challenges in certain geographies. These situations may lead to delays in closing larger transactions or for long sale cycles. An increasing mix shift towards leases, particularly in our most mature markets in the U.S. and Japan. This trend is accentuated by the closing of additional enterprise agreements which, while expanding our relationships with key customers, are having the effect of shifting near-term revenues out over the term of the agreement. And continued weakness in certain parts of Europe particularly in the UK, Russia, and France, as well as in South Korea, and in the state-owned enterprise sector in China. The latter due to naturally occurring buying cycles in the Chinese government's five-year plan. Taking all of this and our current planning efforts into consideration, our preliminary guidance for fiscal year 2017 is non-GAAP revenue in the range of $1.02 billion to $1.06 billion, and non-GAAP EPS of $3.67 to $3.89. As Ajei mentioned earlier, we are still in the process of working through all the details of our 2017 operating plan, but for now, we are assuming no significant changes either way in the overall macro climate as we exit 2016 and head into early 2017. This is our preliminary high level view and we will be in a position to share more of the details with you in February as we finish up 2016 and the 2017 plan is actually finalized. But at a very high level, our guidance assumes a slight reduction in operating margins for 2017 due to planned increased investments in R&D initiatives in the areas of cloud, big data and systems. Investments in sales and channel enablement and some necessary company infrastructure. We are also assuming a slightly higher tax rate in the range of 33% to 34%. That's a result of ongoing benefits associated with some entity structuring activities that we accomplished in 2016 that are expected to be lower in 2017. And lastly, our 2017 preliminary outlook does factor in the impact of the medini acquisition that we announced this morning. Further details around specific currency rates and other key assumptions that have been factored in to our Q4 2016 and fiscal year 2017 guidance are contained in the prepared remarks that we posted on our Investor Relations front page earlier this morning. So, with that, operator, we'll now open up the lines to take questions.
Operator: Thank you. We will now begin the question-and-answer session. We please ask that you limit yourself to one one-part question and one brief follow-up question. Also, please direct questions to Jim and Maria. At this time, we will pause momentarily to assemble our roster. The first question comes today from Sterling Auty with JPMorgan. Please go ahead.
Sterling Auty - JPMorgan Securities LLC: Yeah. Thanks. Hi, guys. So, during this transit...
Maria T. Shields - ANSYS, Inc.: Hello, Sterling.
Sterling Auty - JPMorgan Securities LLC: Hello. So, during this transition with the head of sales, is there any other either sales management or sales rep turnover that could also be contributing to some of the weakness that you saw in bookings and business?
James E. Cashman III - ANSYS, Inc.: Well, no. Sterling, we're – it's pretty stable beyond that level. So, nothing beyond that kind of like the normal movements in the sales organization. Now, that being said, we are going to be looking as both Maria and Ajei mentioned. We've already started to see some positive upticks from the ELA and the major account initiatives, those large orders that we alluded to earlier. We've also talked about at the lower level. Now that requires – we've been encouraged by those results that requires some, a slightly different investment that Maria signaled on there. But we want to be prepared for that because it is starting to pick up at the low end, too. And quite frankly, the enterprise sales motion versus the transactional one is a little bit different. And of course, that being said, as we continue to evolve that, as we have for the last decade, we'll continue to assess all levels and activities of the sales team and continue on. If you look at it, there's a couple of other things where I'd say is that we're going to continue, as we've seen, we've seen some positive movement in the channel activity, and we're going to continue to further that not only strengthening our existing channels but adding additional channels, particularly in those developing areas in there. And then, quite frankly, there's a number of other different initiatives. So, I guess maybe in those – even apart from the channel in Asia, there are some other opportunities that have been looking pretty favorable for us there. So, it's going to be a continual building in terms of preparing to harvest that opportunity.
Sterling Auty - JPMorgan Securities LLC: Okay. And then the one follow-up would be given that you're going through the management transition of CEO, head of sales, you already have a significant part of the business that's lease. You have the new start-up program where you're trying to make it less expensive for start-ups to get into the simulation area. Any further consideration or thoughts around taking the business much more to a subscription and less off the perpetual, especially following what we've seen with Adobe, Autodesk and now PTC?
James E. Cashman III - ANSYS, Inc.: Well, I think we're going to stay on – well, again, that's something that you continue to evaluate because we still see a lot of people that are still interested in the capital thing. Right now, we're really worried more about the adoption and not creating barriers to adoption. That being said, I mean, some other companies that have really tried to push that model, they've actually seen declines in revenue and the like. And we're not trying to force that one way or the other, but as the market trends pick up, we're definitely seeing that. That had a short term, and you could see the short-term impact that it had on some of the growth rate, but with our higher-lease renewal rates and the growth in the deferred balance, you can also see that we're building up a pretty good base, which over the long term actually adds to the growth potential for us as we have – as business renews versus having to be replaced before growth even starts. So, I mean, we're still – and with that being said, on the perpetual side, our test business has continued. It actually was strong before. It's actually even a little bit stronger than it's been before on that. So, essentially, in our parlance, if you think back to our business model that we put forth about 15, 20 years ago, it was really subscription before subscription was even called that, and that meant a high lease and these enhancement subscriptions to our test. And we've been continuing to see that and that's one reason why we are already pushing up into the upper 70% of recurring base. So, in that respect, we've always had a very strong subscription element. Right now, we want to have the multiple avenues that allow people to adopt because once they adopt our software, it's incredibly sticky and it stays and it normally is growth. Almost every ELA that we've been involved with is part of an ongoing growth with our existing customers. And so, really getting that penetration and getting our footprint in there is one thing we want to do. But that being said, we're very cognizant. We've always been very open. Lease has been a big part. Subscription has been a big part of our model for decades and it will continue to be so. And as the market tends to shift that way, it will move that way. And as cloud starts to become more prevalent in our particular sector, which it's not strongly the way other sectors are, when that happens, we'll be well positioned for that because we already have the software and the investment for that.
Sterling Auty - JPMorgan Securities LLC: Thank you.
Operator: The next question is from Ken Talanian with Evercore ISI. Please go ahead.
Ken Talanian - Evercore Group LLC: Hi, guys. Thanks for taking my question. I noticed in your prepared remarks, you mentioned that Caterpillar and GE have consolidated simulation on the ANSYS platform. Along with that, I was curious. Is that fully reflected in the financial impact on your numbers? Yeah. I'll start with that.
James E. Cashman III - ANSYS, Inc.: Well, I mean, those are examples, but keep in mind those are ones that as companies start to adopt that, they build that, and then from that point forward, it becomes part of the run rate base that we're talking about. So, you'll see it reflected in deferred revenues, you'll probably – actually, in some of those you'll see it also referred in the backlog for those further-out areas. And basically, those have – to my earlier point about ELAs and getting that footprint on these early adoption phases, you picked two customers that have been with us literally for decades. And those were with older generations of the technology, but as we've gotten into this new era, those are a couple of examples of ones and some we can't mention by name. But that's just part of what they're growing up. And what you're seeing there is not only growth in their continual usage of the traditional software, but you're also seeing an enlargement in the portfolio. So, using this broader platform because there is a strong advantage to being able to get multiple tools all working together in concert, particularly as you're trying to get complete systems to be operating.
Ken Talanian - Evercore Group LLC: Okay. Now, along those lines, how should we think about your M&A strategy? Are there particular physics where you feel acquisitions would accelerate your competitive position?
James E. Cashman III - ANSYS, Inc.: Well, I'll tell you right now, and this is going to sound like the same thing I've been saying for years, and the fact is M&A is one varied part of our – it's accounted for 25% – a third of our growth over the last 15, 20 years. And it is a great way to add additional strong members to our team and also proven solutions in there. So, if you think of it, every one – we have leadership in every one of our individual fields of physics, but each one of them is only a shadow of what it's going to need to be in the next 10 to 15 years, which means we're going to continue to invest on the R&D line internally. We're going to look at ways of augmenting that with external acquisitions. So, every one of our physics can be – is going to be strengthened, whether it's internally or externally and we'll look at the best mix of those things to go on. That being said now, you look at the other initiatives, it's apart from just physics. The proof that we are getting from both our cloud offerings, our platform offerings and overall systems orientation, are areas where we're going to also play. So, every time you hear a buzz word term out there that sometimes almost gets overused, Internet of Things, additive manufacturing, 3D printing, big data, all those things. I mean, sometimes we overuse those throughout our industry, but the fact is there are major customer interest, initiatives and value movements that we can take place on that. So, we're going to continue to move that way and we're also going to be looking for best partners and we've been doing it continually. We always are looking at 20 or 30 companies on a continual basis either for partnerships on a technology standpoint, acquisition, marketing relationships, anything that basically helps get this value to the customer. And I don't see that changing anytime in the near future.
Ken Talanian - Evercore Group LLC: Okay. Great. Thanks very much.
James E. Cashman III - ANSYS, Inc.: Thank you.
Operator: The next question is from Steve Ashley with Robert W. Baird & Company. Please go ahead.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Thank you very much. Jim, I wonder if you could ask Ajei what his early feedback has been from customers. I'm actually just kidding. In terms of the...
James E. Cashman III - ANSYS, Inc.: Well, he just gave two thumbs up. He just gave two thumbs up, so you get a free question from there, but okay.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Okay. Well, okay. Good. It's going well. So, I was just going to ask about ELAs. How many have you done to-date? And when you started the year, you were hoping to maybe get to 15. Can we get an update on what that might look like?
James E. Cashman III - ANSYS, Inc.: Well, to be overly precise, we weren't hoping to get to maybe 15. We were hoping to get to 15. So, if you look at it right now, the scorecard is we actually had eight through the first half. You don't expect many in Q3. It's kind of a sleepy quarter. But we actually had one in Q3, and I'd say we had one that just squeaked out of Q3. And in fact, it's one of the biggest ones that we had. It actually closed in the first week of October. So, you look at that scorecard right now and we're sitting at 10 where Q4 was always considered the big quarter because, A, these are big things. They have major budget impacts, and they have long selling cycles even to established customers. So, in general, and quite frankly, the pipeline looks really good. Now, again, the pipeline looks really – the pipeline is much bigger than five. However, when you have anything this big and this kind of budgetary impact, they may slide a month or two, some of them. So, the pipeline still supports that. And we've got an increasing interest driving there. So, I'll take a breath now, but that's – ELAs, again, at the high end, going very well. As we mentioned, we're just starting to get some traction that we want to propel in the small to medium business. But ELAs, moving right on target, maybe even a little bit ahead of where we thought we'd be.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): And as we look out into next year, I'm not looking for exact numbers, but would that be something you would expect to maybe grow from the numbers you're doing this year and what does your guidance assume?
James E. Cashman III - ANSYS, Inc.: Well, we haven't gotten to the guidance on that because quite frankly we're closing out Q4 and we're doing an awful lot of planning. So, even when we give a preliminary look into 2017, we're not giving guidance on 2017, we're giving a preliminary look as we always have. But in general, if you see the pipeline as going up, we also have a pipeline of these for 2017, and the pipeline for those look very encouraging. However, they're at very early stages in the selling cycle, and quite frankly, you have to get through a point where you also know that the customer has not only bought into it conceptually, but they're starting to build it into their budgets and the like, and that kind of information is very premature for us. But pipeline, in terms of sales interest and things of that nature, it's staying on a positive track for us.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Excellent. Thank you.
Operator: The next question comes from Monika Garg of Pacific Crest Securities. Please go ahead.
Monika Garg - Pacific Crest Securities: Thanks for taking my question. Given you're seeing shift towards the hard leases, going forward, do you think your lease revenue grows maybe double digit and perpetual, is more like flat to maybe down?
James E. Cashman III - ANSYS, Inc.: I don't think we're at that level of precision right now, but for instance, we know that first of all, seeing the leases going up. The lease bookings were like in high-single digits both for the last couple of quarters, and also, in the current period. So, I mean we've seen some positive things there. And keep in mind for – mathematically, for the lease business to grow at that level, given the fact that it's layering on top of accumulated leases of the previous couple decades, it takes a lot of new lease business to move that cumulative base up. So, that's why we've been seeing that. The other thing is when something moves to lease, keep in mind that over a 12-month period that maybe a lease, just rough numbers, is maybe half of the billing of a perpetual, and given the fact that in the current quarter, you only get to recognize like about one-twelfth of that, I mean, so one shift of a perpetual to a lease has a huge impact on the short-term revenue. However, you also see that now that goes into deferred balance and you've seen the double-digit growth in the deferred balance for Q3. So, it takes a little bit of time for a lease shift to move forward into that. And likewise, we're not trying to expand sales cycles by telling people that if they have capital ready to spend that they have to now force it into a period sale, that's one reason why we've tried to let this take its own course which is why we maybe have less disruption than some of the other people trying more significant binary shifts. But we see those things moving up. Now, at that point, keep in mind, once something goes into lease with a high renewal rate, you have the basis of – if we sold a perpetual this year before we could show growth in perpetual next year, we had to replace what we sold last year and then sell new stuff on top of it. As we move into next year, there's a really high probability that that lease continues to renew, so we're already at ground level there and everything is additive. So, from that standpoint, it allows us to build that up. However, the lease space will take a little bit longer to build up to double digit in keeping with the opportunity, and we still believe that the opportunity is there, but it will take more time to build up because it's layering on top of a huge accumulated base to begin with. I know I threw a lot of stuff at you but it's all related to that. Did that cover it?
Monika Garg - Pacific Crest Securities: Yes. As a follow-up, generally you have made small tuck-in acquisitions. Would you be interested to enter maybe semi-design verticals? You have product simulation through Apache acquisition (31:45) but would you be interested to enter much wider semi-design media tools market.
James E. Cashman III - ANSYS, Inc.: We're interested in all aspects of simulation and anything that allows products to – keep in mind, if you actually divert from any particular target and say, we want to be able to create a complete virtual prototype of a complete system in the computer and put it through its entire duty cycle. You get a feeling of why years ago nobody thought embedded software was important. Well, embedded software is a component in a complete operating system. That's why it makes complete sense. And you see how the work that we did in that actually helped drive our early successes in Internet of Things and the system simulation things. So, that being said, we will be looking at all aspects because every portion of our portfolio, even if it's leading now has to get a lot stronger over the next 10 years. That being said, you started your question by saying the number of – that we're focusing on tech tuck-ins. That just happens to be how it played out over the last couple of years. But if you look at our history, every few years we had some very – we had like every couple of years we might have a significant add-on. And then what we did was we focused on doing a very good job of integrating and really extracting the shareholder value. And just because they don't fall out of the trees on an annual or quarterly basis, we're still always continuing to examine those and we will continue to examine those. So, I would not be – I would not at all be shocked to see some larger transactions. I would not at all be shocked to see a continuation of tech tuck-ins. But it's all part of building toward that strategy. This has always been an exercise in building out our product vision. It's not been an exercise in financial reconstruction.
Monika Garg - Pacific Crest Securities: Got it. Thank you.
James E. Cashman III - ANSYS, Inc.: To be very unambiguous.
Operator: The next question is from Jay Vleeschhouwer with Griffin Securities. Please go ahead.
Jay Vleeschhouwer - Griffin Securities, Inc.: Yeah. Thank you. Good morning. Let me start, Jim, with a near-term question and then follow up with a longer-term question related to business model and technology. For the nearer term, your bookings in the third quarter were down sequentially from Q2 by a more-than-usual amount when you look at prior years, second to third quarter trends in bookings. Was that, however, more or less what you had anticipated absolute bookings would be? And looking out at least into the fourth quarter, could you talk about how you're thinking about your pipeline specifically for industrial, electronics and auto? And then the follow-up question. Thanks.
James E. Cashman III - ANSYS, Inc.: Okay. Boy. So, I'm trying to parse down. First of all, I mean, we might be debating small points here, but I wouldn't say, first of all, that it was down more than historical. But secondarily, I would say it was right in line of what we were thinking given the fact of if you take into account things that might have been forecasted as perpetual that came in as lease and probably affected 1% to 1.5% of the growth rate. But if you look at our view of current bookings, and keep in mind we are still committed to coming up with a meaningful annualized contract value, some of those other metrics we've talked about. If you look at it, we were in the high-single digits for current bookings and that's taking into account the reduction in long-term deferred and backlog, and also trying to launder out, if you will, the timing of ELAs. They're just not as predictable since they're relatively new. And by the way, the high-single digits, that was a constant currency number. Also, from the best numbers we have, the lease bookings were also in that high-single digits. So, around the 8% or so. And that's been for about the last two quarters and taking on this concept of the annualized contact value. So, essentially – yeah, but again, these overall bookings in the lease, they've been counteracted partially by some of the paid-up shifts and that's actually been true for about four quarters now. And I think that we've been talking about it for at least that long anecdotally.
Maria T. Shields - ANSYS, Inc.: Yeah. And Jay, to your one question relative to the Q4 pipeline around those industries, if you take a look particularly across the larger deals, heavily influenced by aerospace and defense, electronics and industrials where many of our longstanding customers have big Q4 renewal activities around their annual budgeting cycle.
James E. Cashman III - ANSYS, Inc.: Yeah. And Jay...
Jay Vleeschhouwer - Griffin Securities, Inc.: Okay.
James E. Cashman III - ANSYS, Inc.: ...you have to repeat part of that because the last part of the question you asked, I think Maria started to address that, but you were asking something about on the industry sectors.
Jay Vleeschhouwer - Griffin Securities, Inc.: Well, no Maria touched on that.
James E. Cashman III - ANSYS, Inc.: Okay. Fair enough. I didn't know if that covered it.
Jay Vleeschhouwer - Griffin Securities, Inc.: No, no. That's it. So, the longer-term question is as follows. And I appreciate that you're still working through the specific planning details for pricing, products and so forth. But pursuant to what you were saying at the Analyst Meeting in June, is it still your general intent to broaden the portfolio across a wider range of functionality and price, particularly to engage a larger number of users more so than in your core markets. And so, that's really the longer term strategic question as to what you're meaning to do tying your technology roadmap to the business model.
James E. Cashman III - ANSYS, Inc.: Yeah. The bottom line is if you look at it, probably, if I had to categorize it, we'd probably in the past, we probably had too many SKUs and too narrow a band, we'll probably have a broader band with a fewer number of SKUs going forward. But it's really meant to have a broader coverage both across industries and into things that comprehend what happens when you get into much broader user segments even within existing companies.
Jay Vleeschhouwer - Griffin Securities, Inc.: All right. Thanks very much.
James E. Cashman III - ANSYS, Inc.: Thank you.
Operator: The next question is from Anil Doradla with William Blair. Please go ahead.
Anil Kumar Doradla - William Blair & Co. LLC: Hey, guys. Thanks for...
James E. Cashman III - ANSYS, Inc.: Hi, Anil.
Anil Kumar Doradla - William Blair & Co. LLC: ...taking the question. Hey. Hey. So, big picture question. Maria and Jim, you guys had provided preliminary kind of markers for 2017. And when I look at that, I look at some of the issues that are playing around in the company story into three buckets. You've got the ELA dynamics going on. That has impact on revenue, obviously, bookings and all that stuff. You've got the macro uncertainty playing around, and obviously, you've got the change in sales. So, what I'm trying to understand is the preliminary outlook, Maria said that – it sounds like you guys are still working through it. But I just want to understand the degree of conservativeness, the way you're looking at 2017. Is that different from how you looked at the guidance or the outlook from your previous years give that there's perhaps a little bit more uncertainty in the model. So, can you help us appreciate that aspect?
James E. Cashman III - ANSYS, Inc.: Well, sure. I'd say there probably is more conservatism in there. But you think of the moving parts. A, we've been in the process of a managed sane transition but we want to make sure that that hand off continues to operate well. We are moving up the maturity curve of the sales force enablement. But as we've mentioned, it happened a little bit slower than we were planning. We're not just plugging in an arbitrary number in a spreadsheet to hit a number. But we are expecting to see sales force productivity increases but we're going to take some time on that. Also, embedded in the numbers are we actually have a little bit stronger – we're assuming, again, even though we're not forcing the market, we're assuming a continued shift toward lease. Like we've mentioned in the last few calls. We're not saying it's all going 100% there. At some point if you get there, it may want to rebound back and come – the market can be funny that way. But we want to be able to serve market in any number of ways that the market wants to be served given that they've chosen our software. But when you continue to have this perpetual to lease preference shift as you start to move into a cloud model, we've already demonstrated that it can mean a couple of percent of short-term growth rates but it can also provide some very nice expansion of the long-term deferred and backlog models moving into the double-digit growth there which long term is a very good indicating sign. So, those are shifts that we see going on. And given the fact that all of those can be – all of those would be positive vectors for us, but they're going to happen in different mixes, we want to have a very strong operating model that we could continue to stick to and something that didn't, let's say, it didn't ransom the long term for any kind of a short term fix.
Anil Kumar Doradla - William Blair & Co. LLC: Great. And then as a follow-up, clearly lot of transitions going on in the sales force. The average sales guy typically works for his own incentives. And given the change in management, what is the message and what kind of incentives are you giving to these individuals to make sure that it's business as usual, double down on your efforts rather than some of these guys trying to figure out how their new compensation is going to be structured. Until they don't (41:43) figure that out, they're just not going to kind of put in the efforts?
James E. Cashman III - ANSYS, Inc.: Well, by the way, we've already got some things in play right now and by the way that's been done with the existing in place sales management, so there's not going to be a whole lot of surprise there. There has been a number of other structural things though that we've done in terms of consolidating some of the sales ops so there's less chaff and chaos in some of the communication things. Not that it was there before but I'm just saying it's a much more coherent distribution capability along those lines. But also you can see that one thing that we've done is that there's different types of sales psyches that are better going after different kind of models. And if you recall, like, two or three years ago, we have a person in a territory and they tried to serve all markets. Well, it's tough going after a lot of the small transactional start-up SMB business at a relatively low rate one day and then turning on and being this maestro selling at the $1 million dollar plus level. So, we've been able to focus a little bit more in that as all of us mentioned in some of our introductory comments this morning. We've seen some strong interest in the small, medium business. I mean, the growth in new logos. We've always kind of had a healthy add but I was kind of surprised at the uptick in that. Very encouraged by the program and the start-up program. But those are smaller kind of market – a different kind of go-to-market movements in there. And so, we're going to continue to move along those lines.
Anil Kumar Doradla - William Blair & Co. LLC: Thanks a lot, guys.
James E. Cashman III - ANSYS, Inc.: Okay. Thank you.
Operator: Our next question is from Shateel Alam with Goldman Sachs. Please go ahead.
Shateel Alam - Goldman Sachs & Co.: Hi. Thanks for taking my question. In your prepared remarks, you talked about increasing R&D investment, and you specifically mentioned cloud. Can you just talk about what exactly you're investing in, in terms of products and capabilities, and whether or not your margin guidance implies that you move beyond the 50 or so pilot customers you have today?
James E. Cashman III - ANSYS, Inc.: Oh, well, yeah. I mean, yeah. First of all, the easy one is, yeah, we're planning on moving way past the 50 pilots. If you think about it though, if the cloud has the means to be a fully democratized kind of open environment, it has to move quite a bit beyond – if you look at – we've got the enterprise cloud model and it's kind of provisioned. It was almost a hardware displacement kind of model where somebody could implement it inside their Intranet or they could provision it. But it was basically getting access to additional computing cycles but still acquired in the same ways. As you start to move toward multi-tenant and some of the other kind of situations that allow it more to be more on tap, those are the areas that we really want to accelerate along that line. Now, also included in that are if you're going to move into that market, it's not the traditional heavy upfront investment that the customer is buying into. So, we've invested in learning management systems that allow people to very quickly at distance at their own pace start to learn the software. We've been talking about the ongoing push of ease of use. That's not like a one-and-done kind of a release. I mean, think about how long ease of use had to move in the PC market from 1980 up until even now, like over 30 years. So, there'll continued progressions there, but we want to do investments along those lines. So, all those would relate to cloud type of activities.
Shateel Alam - Goldman Sachs & Co.: Got it. Thank you. That's very helpful. And, Maria, just one for you. On the last call you said you expected free cash flow growth in 2017. Do you still expect that considering the level of investment you're taking on and some of the lower margin guidance you've put out there?
Maria T. Shields - ANSYS, Inc.: Yeah. And so at a very high level, as we have articulated throughout the call, we're still working through the details. But for now, $370 million to $390 million of free cash flow.
Shateel Alam - Goldman Sachs & Co.: Great. Thank you.
Operator: The next question comes from Steve Koenig with Wedbush Securities. Please go ahead.
Steve R. Koenig - Wedbush Securities, Inc.: Hi, ANSYS. Thanks for taking my question. So, maybe one really for anyone here, and then a follow-up for Ajei. So, granted the shift to leases makes it a little hard to gauge your performance in the quarter, and more generally in trying to get clarity on your real trend growth, but maybe to parse it out a little bit. How should we think about your bookings growth trend maybe as reported, and if you were to adjust for the mix shift, which I think, Jim, you suggested that's a one- or two-point hit? So, in relating that to the quarter, just to put a finer point on it, is 3%, is that below trend is that about right? Meaning, maybe a 5% point adjusted sort of growth. I mean, how should we think about this trend?
James E. Cashman III - ANSYS, Inc.: First of all, 3% is year-to-date, but keep in mind that thing I tried to say before in terms of the current bookings, again, view those as the upper-single digits around that 8% in constant currency. So, I mean, that's really what's going on. Now, as to the numbers, I mean, without telling everybody how to do the model, I mean, you can almost back out, if you took out the growth in the lease space from historical purposes and then took that amount of money and then translate it towards the impact of what that might have translated to in terms of perpetual, you can almost reverse engineer what it would have looked like if everything had stayed totally unchanged. But with that being said, I'd still say that you, Steve, the bookings as we mentioned the – even as I mentioned, the lease bookings have actually been up in the upper-single digits over the last couple of quarters, and we're continuing to see those trends moving on also. So, I'd say that we probably see that as being – for right now, the closest thing to the new normal.
Steve R. Koenig - Wedbush Securities, Inc.: So, just to clarify, Jim, and I do want to get to the follow-up for Ajei. But it's a pretty big gap between 3% and 8%. So, what's the 5% difference? Is that all the mix shift? That seems rather large.
James E. Cashman III - ANSYS, Inc.: Well, I mean, the main thing on that is when you're looking at that aggregate rate, you're including perpetual. And like I say, $100,000 perpetual that shifted to a lease, is probably going to see about one-tenth or less of what that is. Secondarily on the bookings growth again, don't forget take out immediately that $7 million plus from that one big customer. Now, we guided and that was never in our guidance, but you take that out and that was always considered a one-time – not a one-time, but a not going to be repeated next year, all the hyphens - a balloon kind of revenue thing, so that one – and we said that last Q3 at the time that we are talking about that order and we remind people last quarter. So, I think you take that element out and then you consider what the effective part is on the lease space, on the lease conversion. And it pretty much explains itself out.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay. Got it. So, the quarter was basically in line with where you all expected, it sounds like?
James E. Cashman III - ANSYS, Inc.: Yeah.
Steve R. Koenig - Wedbush Securities, Inc.: Yeah. Okay. And so, I'll move to the question for Ajei.
James E. Cashman III - ANSYS, Inc.: Well, he's...
Steve R. Koenig - Wedbush Securities, Inc.: So, maybe...
James E. Cashman III - ANSYS, Inc.: Actually, he's not in the room right now. We may have to save that for later. But we also wanted to get him introduced to these calls.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay.
James E. Cashman III - ANSYS, Inc.: But no chance to introduce that. But if you've got a question, I'd be happy to try to tackle it as best as I can with Maria's help.
Steve R. Koenig - Wedbush Securities, Inc.: Sure. Sure. I mean, I'll put it out there. I was basically interested in getting his perspective on biggest challenges and opportunities facing ANSYS going forward as he takes over. I'm sure you all have talked if you want to opine on that.
James E. Cashman III - ANSYS, Inc.: Oh, yeah. Well, I think, what we do is we can set up some time over the next few weeks or so, we're going to start to build that up. And I'd rather not put words in his mouth even though, yeah, we have spent a lot of time discussing it.
Steve R. Koenig - Wedbush Securities, Inc.: Yeah.
James E. Cashman III - ANSYS, Inc.: In fact, it was a lot of – it was a point of discussion during the recruiting process.
Steve R. Koenig - Wedbush Securities, Inc.: Right. Sounds good, Jim. Okay. Thanks very much for taking my questions. I appreciate it.
James E. Cashman III - ANSYS, Inc.: Okay. Yes. No problem.
Operator: The next question is with Ross MacMillan with RBC Capital Markets. Please go ahead.
Ross MacMillan - RBC Capital Markets LLC: Thanks for taking my questions. Hi, Jim. You said 8% on current bookings for the quarter. If you have that number for year-to-date. And then, Maria, do you have the run rate revenue of the medini acquisition?
James E. Cashman III - ANSYS, Inc.: I'm sorry. First of all, we don't have – I don't have the number handy for the year-to-date. But it's obviously been trending in that same direction and as I mentioned before, it's been one that's been going pretty heavily. It's heavily influenced by various timings of ELAs, some of the lengths of the time based licenses and the amount of shifts in there. But that's part of the complexity of the calculations that we're working through. So, Maria, on that...
Maria T. Shields - ANSYS, Inc.: Yeah. For medini, we're assuming roughly about $2.5 million in run rate for next year.
Ross MacMillan - RBC Capital Markets LLC: That's great. And then may be just quick follow-up, Maria. We have an impending FASB proposal, 606, which has some potential implications for revenue recognition especially for software companies. And I was just curious, have you done your preliminary work there, is there anything to talk about yet there? Thanks.
Maria T. Shields - ANSYS, Inc.: So we are continuing as many of our software brethren are to deal with our independent accountants and also a third-party firm that are specialists in revenue recognition and working our way through that. What it is preliminary looking like, albeit the FASB is not finalized, all of the details and the rules, is the legacy on-premise software providers such as us, particularly for leases, there will be a portion that will be recognized upfront as it relates to license key deliverables. And then there will be an element of ratable recognition relative to the ongoing services provided. Not unlike what ANSYS was doing back in the year 2000 when we had to bifurcate the initial delivery of software from the ongoing other elements that we delivered. So, that's that preliminary view. We are working through all of that. And when we have, I'll call it, finality around the rules, we will certainly update everybody at that time, Ross.
Ross MacMillan - RBC Capital Markets LLC: That's helpful. Just maybe one quick question on that, if I could. Just when you think about that key delivery versus the recurring piece would that, if we just think about relative to an existing lease would that put some of the revenue a little bit more up-front and then a smaller recurring piece? Is that the way to think about it?
Maria T. Shields - ANSYS, Inc.: It was.
Ross MacMillan - RBC Capital Markets LLC: Okay.
Maria T. Shields - ANSYS, Inc.: That's the way think about it.
Ross MacMillan - RBC Capital Markets LLC: Okay. That's helpful. Great. Thanks for taking my questions. Thank you.
James E. Cashman III - ANSYS, Inc.: Yeah.
Operator: Your next question comes from Erik Karlsson with Bodenholm. Please go ahead.
Erik Karlsson - Bodenholm Capital AB: Yeah. Thanks a lot for taking my question. On ELAs, I was speaking to existing ELA users. The general comment seems to be that the key reason to sign an ELA is to reduce the internal barriers and increase the usage of simulation. And indeed, most of the ELA users, I talked to at least, say they have achieved that, if not, overachieved it. Could you just help us with your view on that? If you look at the first bunch you signed, so the first four, five, six ones, what level of uplift are you seeing in usage among those customers? And I appreciate that won't translate into revenue 100%, but directional, it should be the same way. Thank you.
James E. Cashman III - ANSYS, Inc.: Well, over time, it will translate into that. And in some cases, we've – I mean, well, it's always been at least in the lower double digits, and we've seen some where at least the usage patterns and things have gotten up into a 20%, 30% mark. And you asked about our view of it, and our view and why we conceived this program a while back was for exactly that part. When somebody had decided that this is the path they want to standardize on, what we want to do is help them start to extract the value immediately as opposed to going into a multi-month transactional analysis of exactly how much hardware, exactly which modules and what they should be getting. So, it actually allows things for a much quicker start. And it was a much more strategic sale as opposed to just a typical kind of tactical product acquisition kind of announcements.
Erik Karlsson - Bodenholm Capital AB: As a follow-up, perhaps of the existing ELA users, how many of them are in the – so big usage that you actually get to true ups right now?
James E. Cashman III - ANSYS, Inc.: Well, keep in mind that it usually takes about a year or so for going through. So, it's normally in the second year that you start to look at that particular thing. But we have already, I mean, let's just say we have already received those kind of adjustments from the people who have been in the program for a couple of years. Now, that being said, we're coming out of a Q3 and there aren't many things that were cycled around the Q3 evaluation period. Typically, it tends to be end of year, beginning of the year type of thing, Q4, Q1.
Erik Karlsson - Bodenholm Capital AB: Okay. Thank you very much.
James E. Cashman III - ANSYS, Inc.: Thank you.
Operator: The next question comes from Gal Munda with Berenberg. Please go ahead.
Gal Munda - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Hi. I have three questions. The first one is just in terms of competitive dynamics. A lot of things are happening this year especially Siemens becoming more aggressive in the market acquiring the CFD provider. Also, Dassault recently kind of entering the electromagnetic space and they're saying that that's a big area of focus for them for the future. So, my first question is do you see any other change in competitive dynamic when you're speaking to your customers and has it affected you?
James E. Cashman III - ANSYS, Inc.: Well, not – actually, the quick answer is no. I mean, obviously, those products were out there before. On one hand, they get – they maybe get a little less focus. On the other hand, they're owned by some larger entity. But it really hasn't translated into any particular kind of competitive dynamic shift from our standpoint. I think the thing to keep in mind, though, is that anybody can add one or two additional incremental capabilities, but still it doesn't get to that end goal of having a complete platform that covers the totality of things that are required in a virtual prototype of a complete product. So, that type of thing – and keep in mind, once that's even done, there's – there's not an inconsequential amount of work. And it's true for them, it's true for us, it's true for anybody in terms of how you actually now integrate those products and actually make them actually flow together such that they can solve the combined problem, not just be a set of disassociated pieces.
Gal Munda - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Okay. That makes sense. The other question is just on AIM. It's not a new product anymore. Can you just comment a bit on the demand versus expectations for the first few years and what the volume has been versus what you expected? Who is the typical user? Does it mainly come from existing company that potentially want to implement simulation – further democratize simulation further in the company to include more engineers and also what are kind of expectations for the ramp-up for the next few years?
James E. Cashman III - ANSYS, Inc.: Well, again, AIM was always intended to be that starting push into the usability. But what we've been able to do, and things that we are excited about is – and again I don't want to pre-announce a lot of things, but the bottom line is that some of the things that we learned from the introduction of AIM has turned out to be very strong, ease of use adjuncts and front ends to our traditional legacy products which companies are standardized around. So, the bottom line is, it's, as a stand-alone product, it has some different advantages, but it's largely been in some of the newer and emerging markets. But in general what we've done is taken the best parts of that and made that available to our overall broad platform type of capability and we see that as being a good long-term direction.
Gal Munda - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Thank you.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Jim Cashman for any closing remarks.
James E. Cashman III - ANSYS, Inc.: Okay. Well. Okay. Well, thanks everybody for the questions. And as you know, this is my final earnings call technically as the ANSYS' CEO, so it's kind of with mixed emotions that I want to thank all of you for your participations in our calls over last 16, 17 years, and also for your ongoing support of ANSYS and our vision. So, it's been a serious pleasure getting to know and work with all of you. And I'd also like to take this opportunity to thank the entire ANSYS team for all the hard work and commitment and also, I'll welcome the newest members of our team from medini Technologies. We've built a world-class business and we've led the growth of simulation for over 46 years or so and I look forward to many more years of growth in my new role as Chairman of the Board. So, much has been achieved so far this year from both an operations and a financial standpoint, but as you've always heard us say, there's a ton of work that continues to be done to continue to maintain our industry-leading competitive advantages and really drive toward the opportunity that we're firmly committed to. So, we remain resolutely focused on improving our sales and channel execution as we've talked about on this call and your questions. And particularly, in those geographies where we know that we could be performing better and that we'll make any necessary changes to better position ourselves to capture the opportunity for the next 20 years. So, I can assure that Ajei and I, as well as the entire management team, are dedicated to continue to driving both stockholder and customer value by continually leading our industry with innovation and outstanding customer support. So, with that, I thank you very much and the ANSYS team will look forward to linking up with you over the next weeks, months, and on the next call in February. Thanks a lot.
Operator: And thank you, Mr. Cashman. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.